Operator: Ladies and gentlemen, welcome to the NN Inc. second quarter results conference call. During today's presentation, all parties will be in a listen-only mode, and following today's presentation the conference will be open for questions. (Operator instructions) As a reminder, this conference is being recorded today, Thursday, July 31, 2008. At this time, I'd like to turn the conference over to Marilynn Meek with Financial Relations Board. Please go ahead.
Marilynn Meek: Thank you. Good morning. Welcome to NN's 2008 second quarter results conference call. If anyone needs a copy of the press release, please call my office at 212-827-3746, and we will be happy to send you a copy. Before we begin, we ask that you take note of the cautionary language regarding forward-looking statements contained in the press release. The same language applies to comments made on today's conference call and live webcast, available at www.earnings.com. With us on the call this morning is Rock Baty, Chairman and Chief Executive Officer, and members of NN's management team. First, management will give an update, an overview of the quarter, and afterwards, we will open up the line for questions. Now with that said, I'd like to turn the call over to Rock Baty. Rock, please go ahead.
Rock Baty: Thank you, Marilynn. Good morning, everybody. Thanks for joining us on today's call. I have with me this morning Jim Dorton, our CFO and VP of Business Development; Will Kelly, our Chief Administrative Officer; and Tom Burwell, our Corporate Controller. Today, Jim will provide an analysis and commentary regarding our second quarter and year-to-date results through June 30, 2008. Then I'm going to conclude the call with comments regarding the global and market conditions we are seeing economically, and comments regarding our outlook for the balance of the year. With that, I'd like to turn the call over to Jim.
Jim Dorton: Thanks, Rock. Good morning, everyone. NN had another good quarter, especially considering the uncertainties in the economy. Our base Metal Bearing Components business, including balls, rollers and metal cages, remained strong despite the obvious weakness in the US auto market. As we've mentioned in the past, NN has a concentration of our business in the relatively stronger European market, plus our industrial business remains robust and we are achieving some share gains in certain other markets. In addition to reasonably solid operating performance, we had two non-operating items that added to earnings and cash flow during the quarter. We sold some land in the Netherlands that we had recently environmentally remediated for about $6 million in cash, resulting in an after-tax gain of approximately $3 million, or $0.18 per share. Secondly, we adopted a newly offered tax strategy in Italy that allowed us to permanently reduce our deferred taxes payable, resulting in a $1.1 million current tax reduction, or $0.07 per share. So including those one-time gains, we earned $9.2 million in net income during the quarter, or $0.57 per share. Excluding those items, and looking at it from operations, we earned $5 million, or $0.31 per share, which was ahead of our business plan, and it reflects the continuing momentum we saw in the business from the first quarter. Earnings of $0.31 a share represents a 72% increase over the same quarter last year, excluding the restructuring charges that we had last year. Our problem operations from last year, Whirlaway, China and Slovakia, continue to perform much better than last year, and in total contributed significantly to our profitability improvement. Sales were up strongly over the same period last year, with a total increase of 14%. But it's important for us to look at the increase by business segments. Metal Bearing Component sales were up 24% over the same period last year. 14% of this increase was due to currency translation, but actual volume was up almost 10%, or $7.3 million. Industrial demand worldwide, strong growth in rollers and share gains all offset the weak US auto market. And this actual volume increase did drop to the bottom line, accounting for about $0.07 per share of our increase in earnings. So while this was a strong quarter for Metal Bearing Components, this was a relatively weak quarter for those of our divisions that are tied more closely to the US automotive market. While still profitable, the three US divisions most impacted by the US auto weakness were Whirlaway, Delta Rubber and Industrial Molding, where collectively, revenue was 13% below our business plan for the second quarter. And Rock is going to talk about the outlook for the rest of the year in his comments. Gross margins were improved slightly over the second quarter of last year, resulting primarily from the manufacturing improvements in the underperforming divisions from last year, also due to higher revenue in Metal Bearing Components. And this was offset by the volume reductions in those of our divisions focused more on the US auto sector. Compared with last year, we had experienced and continue to experience significant inflation in labor, energy, healthcare and manufacturing supplies, in addition to having to give certain contractual reductions in sales prices. But all of this was offset by our successful Level 3 program, which is on target to deliver significant planned savings this year. SG&A expense in total was up, but this was primarily due to currency. As a percentage of net sales, SG&A dropped from 8.7% last year to 8.2% in the second quarter of this year, which is ahead of our 8.6% target we set for 2008. The average tax rate was only 21.1% for the quarter, reflecting the large one-time tax reduction in Italy and a lower than average rate in the Netherlands, where we had large land sale gain. Excluding the two unusual items, the tax rate would have been 33.7%, which is exactly in line with our business plan. Taking a look at the balance sheet, you will see some increases in working capital, but most of this is due to currency translation and seasonality. Removing these factors, our accounts receivable and inventory should be on target to reach the goals we set for this year, which we announced as a net reduction in working capital of about $6 million. Debt totaled $111 million, flat with the end of the year, and we continue to plan for debt reduction of approximately $20 million this year, depending on our stock repurchase activity and any changes in our expansion plans. Capital spending totaled $4.1 million for the quarter, which is on target with our announced 2008 spending plan of $18 million. And we did not repurchase any stock under our approved stock repurchase program in the first quarter. That's all the comments I have. And now back to Rock.
Rock Baty: Thank you, Jim. I'd like to close today's call, if I could, with comments regarding our results for the six months, the current global economic outlook that we see in our individual businesses and the resulting outlook for the remainder of 2008. I'm going to begin with comments regarding our overall results for the first six months of 2008. Revenue continued to be strong, as Jim mentioned, in the second quarter and for the first six months of the year. Excluding the impact of currency, our pure volume growth for the total company in comparison to the same period in 2007, was up 4.3% for the quarter, or $4.6 million, and up 4.7% for the first six months, or $10.2 million. This growth occurred exclusively in our global core Metal Bearing Components businesses, as Jim mentioned, where good industrial demand in Europe and North America and good automotive demand in Europe led to volume improvements that more than offset the reductions associated with the dismal North American automotive business. As we mentioned during the first quarter, our revenue results reflect overall strength in the European economy in general, as well as good industrial demand in the North American economy. Our current global footprint has served to mitigate some of the pain associated with the North American automotive downturn. Our non-North American revenue for the first six months held pretty constant at approximately 70% of total company revenues. Our US Rubber, Plastics and Precision Metal Components businesses, which account for the majority of our North American automotive exposure, were impacted to a greater degree in the second quarter than they experienced in the first quarter as a result of the acceleration of the downturn in the automotive market in general. Jim has done a good job of covering the relevant issues in terms of our performance for the quarter and the first six months of the year. Our Level 3 program more than offset the nonmaterial inflation we incurred in global operations during the first two quarters. Energy, oil and steel-based production supplies were all up sharply from 2007 levels. Our raw materials, steel, rubber and plastics continued their inflationary spiral and were up significantly over prior periods as well. I would like to comment that the second quarter, like the first quarter, set second quarter earnings records for us at NN. In addition, the EPS year-to-date of $0.63 a share for the first six months is also a record for us. We experienced real earnings momentum in the first six months, which is very encouraging. And as Jim mentioned, we saw good improvement from our three operations, Whirlaway, China and Slovakia. They experienced profitability problems in 2007. In addition, strong volume in comparison to prior years in our Precision Metal Bearing Components business also contributed to the improving earnings trend during the first six months. With that, I'd like to conclude today's call with comments with respect to our overall outlook for the last half of 2007. I'd first like to preface my comments regarding the outlook for the remainder of the year with a following qualification. Given the current global economic uncertainty of the end markets we serve, it is extremely difficult to forecast what our business levels will be, particularly for the fourth quarter of 2008. With that qualifying statement in mind, our outlook for the last half of 2008 reflects a continuing overall level of good demand in the global industrial marketplace, namely Europe and North America, with an acceleration of poor North American automotive demand for the last half of 2008. In addition, there are now signs of an automotive downturn in Europe occurring over the nest next six months. Although the magnitude is currently unknown, many of our customers are forecasting reductions in Europe of approximately 5% to 7% for the last half of the year. Our beginning of the year guidance was predicated upon relatively flat automotive years for both Europe and North America and good growth in the industrial end markets globally. While the industrial end markets have essentially been on forecast in both North America and Europe, North America and, to a lesser degree, European automotive are now below forecast. As many of you know, our business concentration in Europe leads to a natural seasonality in our results for the third quarter and the last six months of the year in comparison to the first six months. Based on the factors I've just mentioned, our excellent results for the first quarter – or first six months, the seasonality of the last half of the year and the projected downturn in European automotive market, we are forecasting lower results than we experienced in the first half of the year, but full year results that exceed our previously communicated guidance of $0.90 to $0.95 per share. Finally, I would like to comment on our ability to further grow our revenue and earnings in conjunction with our long-term strategy. First, we see a continuation of the execution of our existing marketing plans in our metal, bearing, rubber and plastic and Precision Metal Components businesses that will drive organic revenue growth. Second, we fully expect to capture companywide Level 3 improvements this year and on into 2009 to offset cost increases and protect our margins. Third, the use of price to offset inflationary pressures and improve margins in the future. And finally, capitalizing on the full earnings potential at Whirlaway, China and Slovakia. While improved, all three operations are not yet close to delivering the qualitative and quantitative earnings we are confident they will in the future. In closing, while the current global economic situation remains uncertain, we continue to see opportunity in each of our businesses to leverage our current earnings momentum and position NN for sustainable long-term earnings improvement in the future. With that, we would be glad to answer any questions you may have.
Operator: Thank you, sir. (Operator instructions) And our first question is from the line of Holden Lewis with BB&T. Please go ahead.
Holden Lewis – BB&T Capital: Thank you. Good morning, guys.
Rock Baty: Morning, Holden.
Jim Dorton: Hi, Holden.
Holden Lewis – BB&T Capital: First off, you said, I think, in your text that the pricing contribution to the first six months was, I think, a negative 0.2. I just want to make sure I have these numbers correct. I think in Q1, you actually had pricing contribution of negative 0.6, which would have suggested that your pricing went positive in Q2, albeit only slightly so. Can you just talk to those numbers? And then a little more broadly, I know you had sort of contract negotiations, I think in May. Can you talk about how that's going and sort of expectations for price going forward?
Rock Baty: Holden, as I mentioned, I'm going to let Jim and Tom comment on the net impact of the pricing versus second quarter. But just in general, the contractual reductions that Jim spoke to in his comments were long-term contracts, most of which that are expiring this year, either midyear or at the end of the first quarter. And so, to the extent that, both contracts are expiring, we have been moderately raising prices at the expiration of the contracts. Of course, as we've mentioned before, I think we are entering a period relative to inflation on non-raw material costs, as well as inflation associated with pure raw material, that lends itself to shortening the length of time that we are willing to offer prices to our customers. And so, although we are ending some pretty major contracts that were multiyear – and I will say two to three years in length – we really have been shortening the discussions with customers on the basis of the uncertainty of inflationary factors in our business and our unwillingness to extend pricing beyond certain periods. And so in terms of renegotiating existing contracts, and if you're looking for us to say, hey, we've re-extended a contract for a two or three-year period of time, that's not going to happen, for the reasons I just mentioned. And of course, raising prices, regardless of the environment, is always difficult with any major customer. But we have been raising prices, as I mentioned, on a moderate basis. And I think importantly, our customers are raising prices. And I've mentioned this before. On the majority of their business, especially on the industrial side, as well as, I think, automotive, they are raising prices as well. So we think will be successful with that. And the net price change moving forward the last six months of this year as well as into 2009, you'll begin to see the resulting impact of that. I don't think you really saw it in the first and second quarter. Jim and Tom, do you have –?
Jim Dorton: Yes, I was just going to make a comment that with the rapidly escalating raw material prices, steel prices, we have been passing that through to our customers, and that accounted for about a 1% increase compared to the previous year in prices. In addition, as Rock said, where contractual terms have ended and we've been able to get a price increase, it's primarily covered inflation in the past that we haven't gotten. On net, it's not that significant. You did see – because we also had the price down. So not really a significant impact during the quarter–
Rock Baty: One way or the other.
Jim Dorton: One way or the other. You did see the margin improvement come through, but that was primarily as a result of manufacturing efficiencies at the three operations that were under-volume last year and are increasing volume this year.
Holden Lewis – BB&T Capital: Okay. And so the way to look at it is you got 100 basis points from material cost pass-through; you got a little bit more on nonmaterial stuff, where you just raised prices, and that was largely offset by price-downs in your contract business.
Rock Baty: Well, or from a pure margin perspective, Holden, reductions at IMC and Delta in particular, associated with the reduction in US automotive business.
Holden Lewis – BB&T Capital: You're talking pricing here?
Rock Baty: No, no. I'm talking about if you're looking at it just on pure margin, we had reductions in volume that we had a corresponding reduction in margins in those two operations, as an example.
Holden Lewis – BB&T Capital: I'm just sort of curious about on the pricing side.
Rock Baty: Okay.
Holden Lewis – BB&T Capital: On the pricing side, the way to look at it is 100 basis points on material pass-through, a little bit on increases for nonmaterial recapture, and then that was mostly offset by price-downs?
Rock Baty: That's fair.
Holden Lewis – BB&T Capital: Have you renegotiated – you only have like two big contracts, right? Or is a larger majority of your business under contract as well?
Rock Baty: No. Well, we have two major contracts with SKF globally, on the tapered rollers and metal cages, the Veenendaal business. And then a major contract on balls with SKF. And then the other major contract of course is Schaeffler on the global ball and roller business. And the Schaeffler contract has expired. We raised prices, but there is no new multi-year agreement to announce there. We raised prices effective July 1, as I mentioned, what we think is a moderate amount.
Holden Lewis – BB&T Capital: Okay. That would not have affected this quarter – that's a July 1 –?
Rock Baty:
,:
Holden Lewis – BB&T Capital: Okay, so presumably one could say that price has not been a big contributor in the first half overall, but you might begin to see a more visible contribution going forward as this one has come off and that sort of thing?
Rock Baty: I think that's fair, yes.
Holden Lewis – BB&T Capital: Okay. And are you going to enter into a new long-term contract with more flexible pricing terms, or are you just going to sort of let that one–?
Rock Baty: No, I mean, our – I don't think, as I mentioned, that our intention in any of these multi-year – historically multi-year agreements, there is just too much uncertainty to commit to multi-year pricing, given the uncertainty of what's going on, on the inflationary side, cost side of our business.
Holden Lewis – BB&T Capital: And then the three contracts with SKF, when do they sort of come up?
Rock Baty: The ball contract runs through next year, mid next year. And then the roller and cage business is up. And we've in principle, agreed to extend that current agreement through the end of the year. And so that's what's transpired there, with a lots of caveats relative to some commercial terms.
Holden Lewis – BB&T Capital: I was going to say, so, if two of those three contracts have already expired, have you raised prices on those as well, or have you extended the cost-downs or the price-downs?
Rock Baty: No, no, no we haven't extended any further price reductions anywhere. As I mentioned, the Veenendaal portion on rollers and cages, they extended through the end of the year, with no real major changes on the pricing front other than SKF assisting us on the currency issue we've talked about relative to selling in non-euro currencies out of Europe. They did help us there immediately, effective July 1. We are still under discussion on the other commercial terms and will be through – between now and the end of the year.
Holden Lewis – BB&T Capital: So those two contracts, though, they would have had the price-downs in the first half. Did those price-downs carry through the second half as well or–?
Rock Baty: No.
Holden Lewis – BB&T Capital: No.
Rock Baty: No.
Holden Lewis – BB&T Capital: You are not raising price and they are not cutting price, so that is going to be –?
Rock Baty: That is correct.
Holden Lewis – BB&T Capital: I will jump back in. Thanks, guys.
Operator: Our next question is from the line of Mark Parr with KeyBanc Capital Markets. Please go ahead.
Mark Parr – KeyBanc Capital Markets: Thanks a lot. Hey, guys.
Jim Dorton: Good morning, Mark.
Mark Parr – KeyBanc Capital Markets: How are you, doing?
Rock Baty: Good. How are you?
Mark Parr – KeyBanc Capital Markets: Hey, congratulations, good results. I had a couple of questions. Jim, did you make any comments about what kind of tax rate to expect for the back half of the year and into next year?
Jim Dorton: No, I didn't. But I think that the 33% is a pretty good estimate. That's what we had in our business plan and that's kind of assuming that the mix by country is the same as business plan. But I would go for 33%.
Mark Parr – KeyBanc Capital Markets: Okay, so we use 33 for the back half of the year. And then the other thing that was just interesting, it looked like you had about a $600,000 Delta on the net interest number. And that just – it didn't look like the debt or the cash balances changed all that much. I was just wondering what was going on there?
Jim Dorton: Yes, two things happened. One is that you are seeing the effects – now, we had some delayed effect of the rate decreases come through, because we had some rates locked in. We also paid down a portion of our fixed rate, which was due. On net, that's at a lower rate right now. It's just a delayed effect of the rate decreases primarily.
Mark Parr – KeyBanc Capital Markets: So that reduction from, say, $1.5 million to $1 million, that $1 million net number is sustainable going forward?
Jim Dorton: Yes, yes.
Rock Baty: Unless interest rates come back up.
Mark Parr – KeyBanc Capital Markets: No, No, I understand. But that just wasn't a fluke. That's the real deal. Okay. That's helpful. Do you have any estimates on what currency might have added to the quarter from a bottom-line perspective?
Jim Dorton: About $1 million.
Rock Baty: Year-to-date.
Jim Dorton: That's year-to-date, $1 million. For the quarter, $600,000.
Mark Parr – KeyBanc Capital Markets: All right, 0.6. Okay, terrific.
Jim Dorton: (inaudible) the income effect, the effect of euro earnings translating into US dollars.
Mark Parr – KeyBanc Capital Markets: Right. Okay. Euro effect. Rock, I think you're being very fair saying that the US auto marketplace is weak; I think that's pretty self evident. There has also clearly been commentary that the European automotive market is weakening somewhat, although probably not anywhere to near the extent that the US market is.
Rock Baty: Right.
Mark Parr – KeyBanc Capital Markets: You've got – and so those things would be – those would be downdrafts on your revenues and your earnings momentum. Then you've got – the other side of this, you've got Slovakia, you've got China, you've got new business at Whirlaway and new profitability. I mean, I'm having trouble gauging how to think about the offsets – between Level 3, between the growth initiatives coming through, between some of this pricing initiatives that you and Holden were talking about just a few minutes ago. And I guess you are still coming out with an increase in your guidance for the full year. Am I getting that right?
Rock Baty: Yes.
Mark Parr – KeyBanc Capital Markets: Is there anything that –?
Rock Baty: But, you know, Mark, you have been following us long enough to know that the third and fourth quarter, when you just compare the seasonality of our business in general and the seasonality with so much business coming from Europe now, 60% plus coming from Europe –
Mark Parr – KeyBanc Capital Markets: Yes, everybody knows how hard Europeans work in August.
Rock Baty: You have a third quarter wall, and that existed since we created the big manufacturing presence and revenue presence in Europe.
Mark Parr – KeyBanc Capital Markets: Yes.
Rock Baty: And so I think it's important to say that in the context of – I'm not sure that automotive will see a big impact in the third quarter, based on what we're hearing from customers. But there is definitely fourth quarter reductions in the 5% to 7% range, as I mentioned, just based on what we hear our customers saying to us. And, of course, that hasn't happened yet, and so we don't know for sure. And it certainly will not be to the extent that we are seeing from a 15% to 20% reduction in US.
Mark Parr – KeyBanc Capital Markets: Do you think, based on everything you're hearing on the end demand front – and I guess the new news is incrementally negative, if I had to take a guess, just from a macro standpoint. Is that fair?
Rock Baty: I think that's fair, yes. We see it marginally negative – industrial, as I mentioned, is going to continue to be strong, and that's 35% to 40% of our overall business globally. And you've got another 60% to 65% that's automotive.
Mark Parr – KeyBanc Capital Markets: And then the profitability initiatives, I mean, you are still feeling comfortable that those have got enough momentum to offset this weakening – maybe weakening is too strong a word – but just a little weaker than what your business plan thought at the beginning of the year?
Rock Baty: Yes, I think that's a fair statement. I do think that in – as I mentioned, there is a reason – in the release, earnings release, as well as my comments this morning – why we didn't quantify a range relative to – we did say we're going to be better. But quantifying a range, given everything that you have just talked about – you put it very well – is difficult for us at this point. But if we look at our probable case, we see probable as up versus the guidance.
Mark Parr – KeyBanc Capital Markets: That extra color is really helpful. Just one last thing, if I could. Is there anything kind of new or different on the marketing front, things that you've uncovered? I'm also curious if you are seeing any new opportunities emerge from an outsourcing perspective on bearing components?
Rock Baty: It's a good question. And we do see on the roller front continuing opportunities there. And we intend to be investing organically on internal organic growth with respect to that, some in the US and some in Europe, over the next 12 months. And so that's been a real positive sign on rollers, both cylindrical and tapers. And then of course relative to Whirlaway, it's very encouraging, although again, their business is down because of their automotive exposure. But as we've mentioned many, many times, growing their business in a fashion relative to their core competencies in diverse end markets away from automotive – although I would say it was still very much of an end market that we are excited about long-term – that business has the ability to grow organically very, very nicely in the next three years. And it's not just wishes, but we have a lot of activity relative to new business potential, new business award that are very large potential that will move the revenue needle for the total company as well as Whirlaway in general. And I also mentioned, Mark, that while Slovakia and China and Whirlaway are responsible for a big turn in the earnings versus '07, they aren't nearly in terms of profitability where they need to be. And Whirlaway, in particular, both top-line and there's been great operational improvements in that business this year – but on the top line, just pure what they can grow organically and what that would mean for us in terms of earnings accretion moving forward and growth is really exciting.
Mark Parr – KeyBanc Capital Markets: Okay. And that's really more of an '09 and 2010 phenomenon?
Rock Baty: It really is. There might be a – Whirlaway has got some short-term things potentially that could be third and fourth quarter. But we certainly haven't forecasted it. And it really is '09 and '10.
Mark Parr – KeyBanc Capital Markets: Okay, terrific. Rock, thanks for all the color and congratulations on the good results in this automotive environment.
Rock Baty: Thank you.
Operator: (Operator instructions) We do have a follow-up question from the line of Holden Lewis with BB&T. Please go ahead.
Holden Lewis – BB&T Capital: Thanks. Could you guys maybe try to put a little bit of color to how much sort of those three formerly troubled businesses, China, Slovakia and Whirlaway, contributed to the quarter, or kind of what was the EPS swing in terms of the delta from losses last year to gains this year? What was the impact there?
Rock Baty: You asked two things. They contributed collectively about 15% of the earnings for the first six months, Holden, of our reported earnings. And of course, that's why I was mentioning to Mark that while all three of them lost money last year – and so they contributed 15% of the reportable earnings – and that's so far below what we expect long-term – not long-term – short-term, six to nine months, 12 months out for them. And it is a big turn in terms from all three. I don't think that we have reported what they lost last year versus in our segment reporting, so we probably won't go there. But it's a big turn versus last year, even the 15% contribution.
Holden Lewis – BB&T Capital: Okay. So the way I take that is your earnings were about $10.1 million, so $1.5 million basically is from those three–
Rock Baty: From operations, 15% from operations. You got to back out the gain on the sale and the tax.
Holden Lewis – BB&T Capital: So the 17.2 in operating income?
Rock Baty: Yes.
Holden Lewis – BB&T Capital: Okay. So really 15% of that is from those three businesses?
Rock Baty: On 17.2, are you looking at the year-to-date quarter number, excluding –?
Holden Lewis – BB&T Capital: Yes.
Rock Baty: – year-to-date six-month number?
Holden Lewis – BB&T Capital: Yes. So 8.6 in Q1, 8.6 in Q2, 15 of that's about 2.5 million. And that does kind of the contribution –?
Rock Baty: Yes, that's a good number.
Holden Lewis – BB&T Capital: And can you give a comparable sort of aggregate number from a net income standpoint? Without breaking out any of the three.
Rock Baty: I'm not sure we've got it in front of us.
Holden Lewis – BB&T Capital: Okay.
Rock Baty: But I think that's a fair question honestly, Holden, and we can get you that.
Holden Lewis – BB&T Capital: Okay. And then can you also comment on the volume impact from the strike during the quarter? Obviously, GM was, I think, was still being struck for two out of the three months in the quarter. You know, what was that impact on you guys?
Rock Baty: Well, it was – I'm not sure we've got an absolute number. It primarily affected IMC in the second quarter. But I would tell you that the acceleration of the further downturn in the last half has a much bigger impact than that strike did.
Holden Lewis – BB&T Capital: Why is that? I mean, GM is the biggest player, obviously. I mean, it had a noticeable impact on industry volumes. Why did the strike primarily impact IMC and not your other bearing businesses, whereas in the second half it's going to have a disproportionate effect on the other businesses?
Rock Baty: You're talking about the American Axle strike, right?
Holden Lewis – BB&T Capital: Right.
Rock Baty: Yes. Just the programs and products and platforms that, that impacted versus the other businesses. IMC had several platforms that were impacted one-to-one based on the American Axle strike and some of our other businesses did not.
Holden Lewis – BB&T Capital: Okay.
Jim Dorton: Our US ball and roller business has a significant segment that's not related to the US light vehicle manufacturing. Plus, I mentioned a few times that we've gained some share, and that helped the US market as well – helped the US business in bearing components.
Rock Baty: Holden, we've talked about this, but there is also a slight pickup in the last six months of the year associated with GM's – well, really automotive in general shift away from truck and SUV into passenger car, fuel-efficient passenger cars. Those fuel-efficient passenger cars, of course, use ball bearings as the wheel bearing of choice on the hub side and they do not use tapered rollers. And in the US at least we don't supply any tapered roller business. So it will be a pickup for our ball business, but as we've also mentioned, it's a reduction for our seal business at Delta, as an example, and some of our other business at IMC.
Holden Lewis – BB&T Capital: And that's going forward? Because going forward, the expectation is passenger cars – production is actually going to be up, right?
Rock Baty: Yes. Well, to the extent they can make it happen in the next six months is questionable, but yes.
Holden Lewis – BB&T Capital: No automotive forecast is actually worth anything. But as it stands now, they are kind of predicting that passenger cars would actually be up, which would benefit your Metal Bearing business, I would think.
Rock Baty: Yes, it would.
Holden Lewis – BB&T Capital: But IMC and Delta, I guess, they tend to be more on the –
Rock Baty: Delta in particular is on the heavier SUV and truck, and IMC is pretty diversified within automotive. They aren't exclusively on SUV or truck.
Holden Lewis – BB&T Capital: And refresh my memory, how big is IMC and Delta versus the Metal Bearing business?
Rock Baty: IMC and Delta is, combined, 55 – excuse me, 50. 45 to 50 million.
Jim Dorton: Metal Bearing Components, 270.
Rock Baty: Globally 270, Metal Bearing Components.
Holden Lewis – BB&T Capital: So IMC and Delta, I mean, Q2 was already pretty bad for IMC and Delta because of the strike, because of the heavy duty truck negatives. And that bad thing is going to continue. But you're putting up results despite that because it's already – you've already had the bad situation.
Rock Baty: Yes.
Holden Lewis – BB&T Capital: Where on the Metal Bearing side, you've got greater exposure to the area that supposedly may actually grow. I would think that, that would be a relatively positive thing for you.
Rock Baty: Yes, but be careful, because everybody – like you say, the automotive projections and forecasts are anybody's guess. But I don't know what total build rates you are hearing recently, but the last six months of the year in terms of pure build rates, at least what our customers are telling us, are substantially less than the first six months.
Holden Lewis – BB&T Capital: Right. But those much more negative build rates are more on the truck side than on the passenger car side.
Rock Baty: That's true, in the US –
Holden Lewis – BB&T Capital: And your Metal Bearings don't have much content in the tapered which goes on the trucks.
Rock Baty: That's true.
Holden Lewis – BB&T Capital: It has more on the – that's why for the bigger pieces of business, the Metal Bearings, it's $270 million in revenues. I would think that their exposure to passenger cars – assuming that the current predictions are correct, I would think that, that business would actually, somewhat perversely, be looking at more positive environment.
Rock Baty: As Jim mentioned, our US ball and roller business, we haven't specifically called it out. But we don't see a reduction in that business between now and the end of the year.
Holden Lewis – BB&T Capital: Because of the passenger cars –
Rock Baty: Well, passenger cars, as well it's heavily industrial and we're still exporting. Given the weak dollar, we're still exporting a lot of business outside of the US in that business.
Holden Lewis – BB&T Capital: Okay. So really the only place where you think that automotive is going to be a material issue is on the Delta/ IMC business?
Rock Baty: And Europe, potentially, in the fourth quarter.
Holden Lewis – BB&T Capital: (inaudible) Yes, okay. All right.
Jim Dorton: Holden, let me mention something else about Europe. That's a big part of our business, European light vehicle production. We don't know whether the forecasts are any good or not, but most people are saying there will be a decline. One thing that worries us is, is it possible that just looking toward a decline will cause the bearing manufacturers to want to reduce inventories, which will reduce order rates for us. We don't know that's going to happen, but it's a possibility. So you could have a decline based on inventory reduction that's even more severe than the actual decline in auto build is. Maybe, but it just gives us reason for caution.
Rock Baty: I also think, Holden, that there is an inventory adjustment coming in vehicles, in pure passenger car, in the third and fourth quarter in the US as well.
Holden Lewis – BB&T Capital: Thanks, guys.
Operator: Our next question is from the line of Robert Kosowsky with OFI Institutional. Please go ahead.
Robert Kosowsky – OFI Institutional: Good morning.
Jim Dorton: Good morning.
Robert Kosowsky – OFI Institutional: I was wondering if you break out what percent of your revenue goes to the European auto market.
Rock Baty: It's 68%.
Jim Dorton: That doesn't include (inaudible)
Robert Kosowsky – OFI Institutional: The total revenue of the company?
Rock Baty: You said for Europe?
Robert Kosowsky – OFI Institutional: The European auto market.
Rock Baty: European auto is 68%.
Robert Kosowsky – OFI Institutional: 68%.
Jim Dorton: Of our total.
Rock Baty: Of our business in Europe, 68% of it is European automotive.
Robert Kosowsky – OFI Institutional: Okay. So of European sales, 68% is auto.
Rock Baty: Yes. Total company, as I mentioned is 63% to 65%. Of our total turnover and revenue in Europe, 68% is automotive.
Robert Kosowsky – OFI Institutional: Okay. And then as far as the strength in the industrial portion of your business, can you talk about any particular strengths or weaknesses you are seeing in specific end markets.
Rock Baty: Of course, wind energy is big globally. And some of that growth is on, of course, larger diameter bearings and therefore our larger diameter ball and roller business. We see that. You see good in oil and gas obviously. These are our customers end markets, of course; we don't sell directly into these. You see on the ag side and the construction side really healthy end markets. So those are a few.
Robert Kosowsky – OFI Institutional: Okay. And you think those are likely to continue in strength?
Rock Baty: We can only rely on what we hear in the press, as well as what our customers say. And our customers are continuing to forecast really robust end market demand in those markets.
Robert Kosowsky – OFI Institutional: I guess you look at your original plan from January 1, this portion of the business is just doing a lot better than expected, whereas the auto is doing worse?
Rock Baty: Actually, it's a good question, but everybody was forecasting pretty robust industrial growth in both Europe and North America at the beginning of the year too.
Robert Kosowsky – OFI Institutional: Okay, but a little bit less so, I guess, on the manufacturing side?
Rock Baty: Yes.
Robert Kosowsky – OFI Institutional: Okay. Thank you very much.
Rock Baty: Welcome.
Operator:
Rock Baty: Thank you again for joining today's call.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. If you'd like to listen to a replay of today's conference, please dial 1-800-405-2236 or 303-590-3000, using the access code of 11117408, followed by the pound key. ACT would like to thank you for your participation. You may now disconnect.